Operator: Good morning. My name is Christina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pembina Pipeline Corporation Second Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Scott Burrows, Senior Vice President and Chief Financial Officer, you may begin your conference.
Scott Burrows: Thank you, Christina. Good afternoon, everyone, and welcome to Pembina's conference call and webcast to review highlights from the second quarter of 2019. I'm Scott Burrows, Pembina's Senior Vice President and Chief Financial Officer. On the call with me today are Mick Dilger, Pembina’s President and Chief Executive Officer; Jason Wiun, Senior Vice President and Chief Operating Officer, Pipelines; Jaret Sprott, Senior Vice President and Chief Operating Officer, Facilities; and Stu Taylor, Senior Vice President, Marketing & New Ventures and Corporate Development Officer and [indiscernible] Vice President, Capital Markets. Before we start, I’d like to remind you that some of the comments made today maybe forward-looking in nature and are based on Pembina's current expectations, estimates, judgments and projections. Forward-looking statements we may express or imply today are subject to risks and uncertainties, which could cause actual results to differ materially from expectations. Further, some of the information provided refers to non-GAAP measures. To learn more about these forward-looking statements and non-GAAP measures, please see the company's various financial reports, which are available at Pembina.com and on both SEDAR and EDGAR. Pembina delivered strong second quarter results, reporting quarterly adjusted EBITDA of $765 million which represents a $65 million or a 9% increase over the same period in 2018. Quarterly results were driven by period-over-period increases in the pipeline and facilities division, as a result of new assets being placed into service as well as increased terminalling and storage revenues.  Additionally, in our oil sands business we saw higher revenues from recoveries under flow-through capital arrangements. These higher recoveries relate to both current and prior periods and reflect increased capital spending. The impact on revenue in future periods will be dependent on actual capital spending.  Within the marketing business, the quarter was positively impacted by the adoption of IFRS 16, our realized gain on commodity related derivatives and higher NGL volumes, offset by lower NGL margins. Performance in the crude oil marketing business remains steady. The second quarter is seasonally weaker for our NGL marketing business and there were headwinds in North American propane and butane price markets. However, growing NGL volumes and hedging program, combined with integration and market diversification drove sustained performance in the quarter. Adjusted cash flow from operating activities decreased by 1% to $550 million in the second quarter of 2019, compared to the same period in 2018, primarily due to increase in current taxes, and a decrease in distributions from equity accounts and investees, partially offset by an increase in operating results and the adoption of IFRS 16. Finally, based on our year to date results and our outlook for the balance of the year, we remain on track to meet our adjusted EBITDA guidance range of $2.85 billion to $3.05 billion.  Now, I will turn things over to Mick for an update on some of our key growth projects and business development activities. 
Mick Dilger: Thanks, Scott. Good afternoon, everyone, and thanks for accommodating this late day call. Pembina delivered another quarter with strong results. Our integrated business models supported by long-term contracts and a strong financial position has generated consistent and growing earnings through energy market cycles. We continue to develop and expand the Pembina store, ultimately driven to be the leader in delivering integrated infrastructure solutions connecting global markets.  At our Investor Day in May, we outlined three strategic priorities. The first priority was protecting our base business, which includes safe, reliable and cost effective operations, optimizing our existing assets and renewing and extending our current customer relationships. As evidence of that we recently executed agreements for a significant term extension and an increase volume commitments at Pembina's Saturn deep-cut processing facility. These agreements include gas processing, NGL transportation and fractionation and marketing services. The second priority enhancing our business shows up in our secured growth program. Our pipelines and facilities divisions are constructing $3 billion of capital projects, which in aggregate are trending on budget. Our teams continue to see a steady flow of new business opportunities, and we are confident that Pembina is best positioned to meet customer demand for integrated services.  Finally, our third priority which is to access global markets and provide higher net back to our customers continued to take shape. Our Prince Rupert Terminal currently under construction and expected to go into service in the second half of 2020 is a relatively small, but important project. As it serves as a pilot project in our development of an export terminal business. Our PDH/PP project is now in the execution phase, and we are obtaining engineering, procurement and constructions bids.  Long lead equipment orders have been placed, partially placed and early work construction contracts have been awarded, site clearing is also complete. On Jordan Cove LNG, we are focused on the federal and state permitting processes and we continue to work closely with all agencies at all levels. At the local level support for the project has grown and notably, we now have signed easement agreements that constitute 80% of the privately owned portion of the proposed pipeline route. Commercial discussions with prospective customers are ongoing and we remain confident in the commercial interest to support the project. I would add that given we are now through the technical and land acquisition phases of this project, our monthly spend profile has dropped dramatically.  In closing, I'm very pleased with the quarterly safety, operating and financial results, the progress, we are making on major projects and the steady stream of business opportunities. Our teams are developing. Pembina is set to mark another major milestone next month celebrating 65 years as a company. We have grown from a single pipeline and a workforce of 30 people to 2,300 employees and a total enterprise value of some $37 billion.  As always, I'd like to thank all of our stakeholders or customers or investors or communities, and of course, our dedicated and hardworking employees for their ongoing support. It takes all of you to make things work this well.  With that I'll wrap things up. Operator, please go ahead and open the line.
Operator: [Operator Instructions] Your first question comes from Jeremy Tonet from JP Morgan. Your line is open. Please go ahead.
Jeremy Tonet : Hi. Good afternoon.
Mick Dilger: Hi, Jeremy. 
Jeremy Tonet : Just wanted to follow-up on the guidance here. If I take kind of what you achieved in the first half of the year, and I just double that. Indeed queue above the high-end of the guide here. And so I'm just wondering, besides lower NGL prices are there any headwinds in the back half of the year that we should be thinking about like NBC timing or O&M timing?
Scott Burrows: Jeremy not -- I mean, there's -- obviously you hit the nail on the head with the first comment, which was the NGL pricing is, I mean, if you map it out, it's a little bit weaker in the back half of the year. That is offset partially by our hedging program. But certainly that is an impact overall. Secondly, I think in the quarter -- this quarter we handsome onetime events like the OBU revenue. That is ongoing, but the magnitude of Q2 was somewhat amplified. So it would be inappropriate to extrapolate that out.  So, based on where we are, I mean, I think we had the same discussion at this time last year, where we were slightly ahead on a year to date basis. And we had the same discussion. And along those same lines to your point, we tend to have a higher integrity program in Q4 than we have prior in the year. So when you take all those factors into consideration, I think we're comfortable keeping our guidance range where it is.
Jeremy Tonet : Got it. Yes, I think it worked out pretty well last year. So hopefully, we have the same thing again. I just also want to follow up with some of your growth projects that you talked about before with Alliance and kind of anything notable to talk about there as far as something in the future that could come? Or also kind of the BC fracs if there was anything new to talk about, as far as expansions there?
Jason Wiun: Hi, Jeremy, this is Jason. With respect to the Alliance, I think things are continuing to progress well, we're talking to a number of producers in the Bakken. And we're fairly happy with the conversations we're progressing those discussions. I think, we're continuing to move the engineering forward, both on the Alliance pipeline and the frac at [indiscernible] and Aux Sable. And so those things are moving forward, we won't really have our finalized costs at Aux Sable stable until about the fourth quarter of the year. So the combination of bringing, the customer negotiations and the completed capital costs we're hoping that by the end of the year, we'll be able to make an FID on that project.
Jaret Sprott: And then Jeremy, it's Jared here. With respect to the Northeast BC frac. We've approached the majority of the customers up in that area. And I think as the customers are seeing the realization of the benefit of the West Coast LPG exports, they're seeing that benefit. And so things I would say are going very well there with respect to providing the customers a higher net back. But no details on timing right now.
Jeremy Tonet : Great, that's it for me. Thank you.
Operator: Your next question comes from Linda Ezergailis from TD Securities. Your line is open, please go ahead. 
Linda Ezergailis: Thank you. To follow on Jeremy's question, I'm wondering if you could give us a broader sense of the nature of your discussions with your producer customers. Has the tone changed, the volume of discussions changed in terms of their ability to commit to additional services in this pricing environment? And I guess maybe you can also touch on what that might mean for future piece of expansions in terms of the pace and the scope.
Scott Burrows: So you're talking more generally in the WCFB, Linda?
Linda Ezergailis: Correct.
Scott Burrows: I think obviously, gas prices are having an impact on producers' bottom lines. And there is some challenges out there for a number of the producers, but we continue to have a large amount of deal flow moving forward on the Peace Pipeline system specifically. So since about the third quarter of 2018, we've probably executed 200,000 barrels worth of contracts on Peace. So we don't see that as being a real challenge at the moment the producers continue to pursue the opportunities and work things forward. We're still optimistic about our baseline project and we feel confident that we'll be able to move that forward in the future. 
Linda Ezergailis: Thank you. And just as a follow up, to the extent that there might be the potential for some sort of systemic natural gas production curtailments introduced in Alberta with the government and industry working together. What sort of effect if any would you see that having on your operations?
Mick Dilger: It's Mick that would be driven by most likely by producers with linear gas. I think given we're primarily hydrocarbon liquids company. And our major gas asset is Alliance which in fact has a very good net back and would not be curtailed. We’re not overly concerned about that at the moment.
Linda Ezergailis: That's helpful context. Now, there's your Prince Rupert terminal is facing some budget creep, I'm assuming the economics are still very compelling. But can you give us a sense of the nature of that pressure on your budget in terms of the scope? And then what the magnitude of the increase might be?
Mick Dilger: We’re working through Linda, how we're going to disclose on a project by project basis, but we think the most important thing for the readers of our statements is to know that we're trending on budget and on time, in terms of the overall basket. In terms of the blow by blow, we’ll -- we haven't decided whether we're going to disclose it down to an asset level. That particular asset, it's fine. It's always the usual suspects on these kinds of projects. But I don't think we're going to be disclosing variances on a blow by blow basis. Because, I’ll give you one example, to disclose between Peace phases, whether we're over or under can be a scope change, a timing change, and it's just kind of a chasing your tail proposition. So we're probably going to be more likely just to inform the readers that we're kind of on budget overall, and hence forth, your models is going to be fine.
Linda Ezergailis: Thank you.
Operator: Your next question comes from Rob Hope from Scotiabank. Your line is open, please go ahead.
Rob Hope: Hello, everyone. Want to start off first, on the volumes, is just taking a look at the facilities volumes, we saw gas services down quarter-over-quarter, same with NGLs and even the pipelines, let's call those relatively flat, just want to get a sense of kind of where you're seeing kind of your volumes trending and key drivers there and the outlook for the rest of 2019?
Jaret Sprott : Yes, hi, Rob, it's Jaret. Volumes in quarter-over-quarter were down for the facilities division roughly 3%. That was primarily IT volumes that were being curtailed due to the extremely low April pricing that we saw. So those are volumes that would typically float a non-deep cut facilities of ours, and that I have very, very -- as Mick mentioned, very, very low C V yields. Some of those volumes did get curtailed throughout the quarter. And then you have the immaterial amount of NGLs that has normally would have shown up at the fractionating complex. So that's primarily, we don’t -- as Mick said already, the majority of our facilities are in the higher liquid yields. And in those areas, we have pretty high take or pays and long-term contracts. So we're not overly concerned about it.
Rob Hope: All right. And then on the pipeline side, conventional has been kind of 895, 840, or 880, kind of in that 900-ish range for a couple quarters now?
Jaret Sprott: Yes, so on the on the pipeline side, Peace volumes with Phase IV and V continue to ramp up, as generally as we expected. This quarter, they were impacted by -- on the western system, we had a third-party outage that impacted the overall conventional volumes that sort of offset and match that increase what's happening on Peace.
Rob Hope: Right. And then just finally, just taking over operatorship of Aux Sable, what benefits do you think you can bring there and longer term? Does that give you kind of more a larger entry point in the potential U.S. market?
Mick Dilger: Yes, right now, Robert. So it's only been about 15 days since we've taken over operatorship. So I can't really talk to the synergies today. But I can say that the owners are extremely excited about bringing those folks over into our organizations. And I think you kind of nailed it, now that we have our hands on the steering wheel, we do get a little bit more insight into, that Chicago end market with respect to the NGLs, the business that we do every day here in Western Canada.
Rob Hope: All right, thank you.
Operator: Your next question comes from Patrick Kelly from National Bank Financial. Your line is open, please go ahead.
Patrick Kelly : Hey, guys. Maybe just started with the PDH, could you remind us when you expect to have your EPC contract locked down, and whether you're looking to go with a lump sum bid or the cost plus? 
Stu Taylor: Yes, this Stu speaking. So yes, we're in the process of evaluating our EPC bids as we speak, it's going to take a couple of months, but we’re planning to be through with the review and the negotiation on the EPC by the end of October. For us we're looking for lump-sum bids from the EPC contractors that’s our contract strategies for that type of facility.
Patrick Kelly : All right, great. And then on the product front on the contracting side, any update on the 40% or so contracting level and maybe a comment on whether or not the proposed ban on single-use plastics is in any way causing friction to those discussions you may be having?
Mick Dilger: We ramped up our efforts regarding the fee for service with the work that we have and remain confident that we’ll as we enter 2020 that we will reach our 50% target on our contracting basis. So we remain confident there and we have numerous conversations ongoing and are excited to undertake and complete that work. And the single-use plastic, again our facility and the idea to go with polypropylene as opposed to other plastics. These are higher demand plastic or recycle plastic and not just single-use, it does have variety of uses on a go forward basis, but it largely we don't see any impact from a demand basis for the facility.
Patrick Kelly : Perfect. Moving over to Jordan Cove, when you guys expect to reapply for the 401 permit and I guess how long should we expect a decision to take from the time of your reapplication?
Mick Dilger: We're working with the regulators, the state regulators in Oregon, we have a number of options with respect to the 401 permits and continue to work through with on those options. Obviously with multiple options they have different time frames. And so we’re working them all and at this point we're comfortable with the progress that were making, but we expect still that we will have our permits following our FERC approval in January of 2020.
Patrick Kelly : Okay, great. Last one for me guys just within marketing and specifically to the crude oil midstream business. Wondering if you're able to take advantage of some of these new butane supply agreements or maybe should we expect a ramp up still in margins here to the back half of the year? 
Mick Dilger: We're not sure what you mean by butane supply agreements, sorry.
Patrick Kelly : Just within your crude oil midstream business wondered if you could advantage of some of the cheaper butane supply?
Mick Dilger: I see. We're getting less money for butane to the extent there is a butane to crude, crude oil but we make more but generally it's a headwind lower butane prices are a headwind for us much more than a tailwind if there happens to be any kind of arbitrage blending.
Patrick Kelly : Okay, thanks for that clarification.
Mick Dilger: Thanks, Pat.
Operator: Your next question comes from Matt Taylor from Tudor Pickering Holt and Company. Your line is now open, please go ahead. 
Matt Taylor: Hey, guys. Thanks for taking my questions here. Can you have provide some more context on the lower take-or-pay commitments on [indiscernible] there. I assume it’s not material I was just wondering if it contract roll off or what was just going on there?
Mick Dilger: Effectively they’re just stage contracts with the profile, so the profile changes the contract goes along. So it’s just the way the term of the contract rolls over.
Matt Taylor: Okay. Has there any other read through to some of the other legacy pipes like Swan Hills or Drayton Valley or was this just kind of isolated to those two systems?
Mick Dilger: It was predominantly those two systems.
Matt Taylor: Great, thanks. And then just moving on to the commentary on terminalling revenues for propane and butane, and NGL services, can you give me some sense of where utilization is today for those assets. And given frac tightness how you guys are thinking about opportunities there to ramp terminalling revenues or look to debottleneck fracs?
Jaret Sprott: Hi, Matt, Jaret here. So the utilization on the frac are still fairly high with respect to the terminalling you may recall that Pembina finished a quite a large rail expansion over the kind of the latter half of 2018. Year-to-date 2019 we’ve moved about 60% more railcars this year than we had last year and that's primarily due to the fact that we have that rail expansion now behind us.
Matt Taylor: Okay, that’s great. And then one last one in pipelines it looks like the deferrals the NVCs for conventional or marginal it look like oil sands there had a bit of a jump in deferral variable revenue recognition is that more of just a onetime sort of, I am just trying to think through the rest of the year here and kind of the shape of the deferral revenue? 
Scott Burrows: Yes, on the oil sands it was -- I don't want to call it a onetime event, there was a onetime event that kind of inflated it to the number that was on a catch up, on a go forward basis. It'll be as capital spent. So that could be anywhere between call it $8 million to $20 million a year. So when you put that over a quarterly basis, it's relatively immaterial. It'll probably get lost in the noise of other things going on.
Matt Taylor: That makes sense. And then probably as we move into the back half on the conventional system is when you start to recognize some of those volumes and revenue start to align.
Scott Burrows: Yes -- and then on the conventional side, I mean, we have in our financial statements, we do lay out what we've recognized and what we've deferred on section seven on the selective quarterly information. So you can look at that and see the magnitude. On a year-to-date basis, we still have about $23 million of deferred take or pay revenue that we may or may not recognize over the back half of the year, depending on how volumes show up from the various producers.
Matt Taylor: That's great. Thanks for taking my questions.
Scott Burrows: Thank you.
Operator: Your next question is from Andrew Kuske from Credit Suisse. Your line is open, please go ahead.
Andrew Kuske: Thank you. Good afternoon. I think it's been sort of couple times in the call that the volumes were generally in line with your expectations on the pipes a bit flattish. There's also some outages. And I guess, the question is really what's the timing on the inflection point and your expectations on the volumes to lift that business?
Scott Burrows: Typically our volume starts to build in the second half of the year. So as we come out of break up and people are able to complete that high ends and trucks are able to hit the road and things like that. So we typically starting about now into the third quarter and into the fourth quarter, we typically see volumes ramp up fourth quarter, and first quarter are our seasonally highest months of the year in terms of our throughput. So that's the trends we’re expecting.
Andrew Kuske: And then if that trend holds true, you then see a multiplier on the facility side of your business. Especially you got a tighter frac market at this point in time and there's a bunch of other factors as you start to feed more volume through your entire network?
Mick Dilger: Yes, exactly. As those volumes are coming on, primarily driven by the condensate barrel that's moving down the pipeline, all of your associated NGLs and then your gas. For example, the Duvernay facility will be coming on stream here in late 2019. And so, we will be seeing those coming out up, Andrew. 
Scott Burrows: But just we don't want to overstate that, because recall our facts are 100% take-or-pay. So, not every barrel that shows up is incremental revenue in the frac it does manifest in the marketing side where it's more of a variable revenue stream based on volume. So just don't double count that.
Andrew Kuske: Understood. And then just one final question just with I think a full quarter of Redwater, the co-gen under your belt. Do you feel you have a more sophisticated knowledge of just what's happening in the power market and how to position yourselves?
Scott Burrows: Well, I can say that, yeah, with that in the full quarter now we actually did see, and I think it's in the MD&A, we did see some lower power costs in the facilities division. But overall, we still corporately still saw higher power costs in the quarter. But to answer your question, in short, yes, we do, that's quite the asset.
Mick Dilger: Yes. And, you know, we -- it's a pilot again, but we like what we saw and you think there could be applicability to Empress and also at CKPC for similar facilities. So just really vertically integrate our demand for power. So stay tuned on those.
Andrew Kuske: Yes, that's great. Thank you.
Operator: Your next question comes from Robert Catellier from CIBC Capital Markets. Your line is open, please go ahead.
Robert Catellier: Thank you. I just wanted to follow up on the NGL side here, there's a -- you are pointing to a 13% increase in volumes with a period. I wonder how much of that is market share gains versus the fact that there's just more production out there and the markets growing. Do you have a sense on where you stood on market share gains this last contracting season?
Mick Dilger: Again, with 100% take-or-pay it’s most likely just existing guys using their frac more fully. And if we look at, for example, the VMLP assets, they've got a lot more liquid deals. That finds it’s way downstream. And so it's people who have contracts more fully utilizing them. I don't know that that would really -- I'm implying, of course that market share gains means that we're taking away from other tracks. I don't think that's the case, I think it's just because of the take-or-pays, people just using their capacity. Jaret, do you agree with that? 
Jaret Sprott: Yes, absolutely. 
Robert Catellier: Okay. Yes, that's helpful. And then there's talk now about a Prince George, petrochemical plant under development, I'm wondering if you see a role for Pembina in that either in the project itself, or in supplying the project with infrastructure?
Mick Dilger: We've talked about supplying ethane to others for a while, and clearly we have important role to play in the basin with ethane supply, and clearly that upside that we could have, and that's just a role we gladly play for any demand source.
Robert Catellier: So to really to say anything about that?
Mick Dilger: Rob, we've worked on it, it’s in the public domain, I believe our proposal to the Alberta Government around ethane supply, and we think we're uniquely qualified to procure, say, up to 100,000 barrels a day of ethane. And we don't think anyone else can do that. So, it's something that we can do, and we're ready to do.
Robert Catellier: Okay. And then you just one Jordan Cove, I think the comments were you’re confident in the commercial support for the project. But, the state of the NGL market, I guess, fluctuates a bit and there's a couple projects, Gulf Coasts that have had approvals, but seem to be having difficulty ramping up the commercial support. So maybe you can spend a minute just indicating what you see in terms of the commercial demand for Jordan Cove?
Jaret Sprott: So we continue to have conversations Rob, with the off takers, they remain supportive of the project, as again, I believe there's a perspective of there's not many LNG opportunities on the West Coast of North America, particularly on the West Coast of the United States. I think as well, the Gulf Coast projects, there's lots of competition for there, there's where your end market is, may dictate what your ultimate cost for delivery or landed price in whatever market you're going to. So I think people are looking for diversification away from the Gulf Coast for a variety of reasons. And I think Jordan Cove provides that diversification, where you have the ability to be attached to a Western Canadian sedimentary basin with challenged feedstock pricing. You can connect to the Rockies basins through our Ruby pipeline, again, with challenged pricing on a go forward basis. So we believe Jordan Cove is well positioned. And I think that's been the evidence by our continued support from our off takers. They are -- they like the idea of Jordan Cove and are supporting us through this permitting exercise that we're going through. 
Mick Dilger: Rob, also consider that some of our off takers may have reserves in the ground, that in today's market, or even in the foreseeable future, don't have a lot of value in the ground. And this is a way to get them out of the ground, and they otherwise might not. So it's not just comparing, Gulf Coast net backs to Jordan Cove, net back, it's also comparing gas that has very little value or perceived value in the future in the WCSB versus, them needing to buy gas on the open market. So there's a whole another layer that's at play here.
Robert Catellier: Yes, there's a lot more benefit, if you have the reserves, right?
Mick Dilger: Absolutely. 
Robert Catellier: Thank you.
Operator: [Operator Instructions] Your next question comes from Robert Kwan from RBC Capital Markets. Your line is open, please go ahead.
Robert Kwan: Good afternoon. Maybe I'll start and just stick with Jordan Cove here. You made the comment earlier Mick that you've been able to take the cash burn down quite dramatically at this point. So does that change then how you think about the timing around bringing in potential joint venture partners that cause you to want to wait, given the cash burn is pretty small at this point.
Mick Dilger:  Yes, I guess that's fair. I mean, if you go back to 2018, between PDH/PP and Jordan Cove, it was about $20 million a month, right. I mean, it was substantial. And PDH/PP worked out, so that knocked half of that burn. And then as we disclosed, we've got a lot of the right away nailed. And that cost a lot of money. We had to do all the engineering on Pacific Gas connector, that costs a lot of money. And now that's behind us. So we're really down to spending money on regulation. And we've come so far, and there's not a ton of money ahead of us, there could be some time but not a ton of money involved in seeing our way through a court approval or, and finding out what the next step is with the state. So there's not a ton of urgency to partner up on this thing. I mean, if the ideal partner came to us and said, they will step into this with -- together with you we would consider it. But it's not on the critical path for us, but getting the approvals is on the critical path. 
Robert Kwan: Got it. And then I guess, just on the easement [ph] I think you mentioned you got about 80%, so just with respect to the other 20 is that more just a matter of time / negotiation? Or is there any kind of sticky points that you're worried about or put differently? Would you think you're going to have to go to eminent to main proceedings?
Scott Burrows: So, yes, we're about 82% right now, Robert. We actually thought we could get or approach 90%. If we continue to span we didn't see that as criticality at this point, we may still get there through times. So there will be a small portion of this right away that where we will have to use the process that are available to us. Just secure the right ways that are there. But we think it will be small, we've had great success. And when we told the regulators what success we've had here. They were quite thrilled and impressed of the progress that’s been made. It's dramatic change to when this project was denied the first time and, again, we think we could get more, but it's also a spending issue that we're trying to manage.
Mick Dilger: If you step back from it, what it says is that the people who are “most impacted by the project have signed up.” So people who are out there saying different things are generally not the most impacted in there, they tend to speak for the most impacted while the most impacted have spoken.
Robert Kwan: Got it. Turning to Northeast BC and building upon your desire to build a frac up there. I'm just wondering what’s -- as you go out to customers, what's kind of the selling features to kind of go through your potential project? And then the Prince Rupert terminal given there are players out there that have similar assets trying to sell the same thing? Kind of what are you bringing? Is it optionality to do a number of different things with the molecule? Is that what you're offering that type of optionality or is there something else?
Jaret Sprott: Yes. Robert, it's Jared, here. It really comes down to kind of our two core assets. One is, our integrated value chain. That's number one that brings the customers to the table. And then the second one is truly that increased net back from not transporting that barrel. It's such a long ways from that, Fort St. John area north of there, all the way into Fort Saskatchewan. And then to rail it all the way back, it is a significant cost. And so there's that, that benefit there. And then we obviously, Jason and his team, they have the benefit of reselling that capacity downstream. So it's really the integrated solution and the increased net back they get from saving on costs.
Robert Kwan: Okay. Maybe just to finish on the M&A market and your stocks held in okay, we've seen certain kind of segments of the market across North America come under some pressure here. Is there anything -- obviously, you probably don't want to get into specifics, but is there anything just kind of generally here that's peaking your interest now that maybe wasn't a quarter or two quarters ago? 
Mick Dilger: Yes, you mean your assessment that our phone is ringing a lot is correct. I mean, we thought and kind of kept such a tidy balance sheet that we have a lot of capability. So, we are looking at a lot of different things, but we also have a huge Greenfield Brownfield plan, $3 billion underway and if we go Phase IX Northeast DC there's a lot of demand for capital. We got to get Scott to not sit on his wallet quite so hard. But those acquisitions always have to compete with Greenfield and Brownfield and that's a challenge because we have some really great projects. So it's -- we really including at our Board meeting today the topic at Pembina's Board meetings are capital and people allocation. Do we have enough money and enough people to do a really good job it's not about deal flow, we got -- we just flush with you wouldn't guess what the certain of the commodities being disadvantage, we are just flush with deal flow.
Robert Kwan: Okay. That's great. Thanks very much.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Mick Dilger: Well, I'll wrap up, it’s Mick. Again, thanks to everybody for staying late. We're really pleased with the quarter and thank you very much for your ongoing support wherever you are. Have a great August long weekend. Thank you.
Operator: This concludes today's conference call. You may now disconnect.